Operator: Greetings and welcome to Meritage Homes Second Quarter 2021 Analyst Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Emily Tadano, Vice President Investor Relations for Meritage Homes. Please go ahead.
Emily Tadano: Thank you, Brad. Good morning and welcome to our analyst call to discuss our second quarter 2021 results. We issued the press release yesterday after the market closed. You can find it along with the slides we'll refer to during this call on our website at investors.meritagehomes.com or by selecting the Investor Relations link at the bottom of our home page. Please refer to Slide 2, cautioning you that our statements during this call as well as the press release and accompanying slides contain forward-looking statements, including but not limited to, our views regarding the health of the housing market, economic conditions and changes in interest rates, community count and absorption, trends in construction costs, supply chain constraints and cycle times, projected third quarter and full year 2021 home closings and revenue, gross margins, tax rates and diluted earnings per share, potential disruptions to our business from COVID-19 as well as others. Those and any other projections represent the current opinions of management, which are subject to change at any time and we assume no obligation to update them. Any forward-looking statements are inherently uncertain. Our actual results may be materially different than our expectations due to a wide variety of risk factors, which we have identified and listed on this slide as well as in our press release and most recent filings with the Securities and Exchange Commission, specifically our 2020 annual report on Form 10-K and quarterly reports on Form 10-Q, which contain a more detailed discussion of those risks. We have also provided a reconciliation of certain non-GAAP financial measures referred to in our press release as compared to their closest related GAAP measures. With us today to discuss our results are Steve Hilton, Executive Chairman; Phillippe Lord, CEO; and Hilla Sferruzza, Executive Vice President and CFO of Meritage Homes. We expect this call to last about an hour. A replay will be available on our website within approximately 2 hours after we conclude the call and will remain active through August 12. I'll now turn it over to Mr. Hilton. Steve?
Steven Hilton: Thank you, Emily. Welcome to everyone participating on our call. I'll start off by discussing the market trends we're experiencing today, provide an overview of the first half of the year. Phillippe will cover our strategy and quarterly performance, and Hilla will provide a financial overview of the quarter and 2021 guidance. The housing market continues to be very healthy. Home buying activity in the second quarter of 2021 remains strong and steady in all our geographies. Even as we managed our orders pace to align with production constraints, our second quarter of 2021 average absorption pace was 5.5 per month, up from 5.0 per month from the prior year.
Phillippe Lord: Thank you, Steve. While we continue to meet and exceed our absorption pace objectives in 2021, we are also able to prioritize price in today's favorable market environment. We increased prices on the same store basis by about 9% to 10% year-over-year this quarter. This led to order ASP increasing 18% year-over-year, even as product mix shifts towards entry-level.
Hilla Sferruzza: Thank you, Phillippe. Let's turn to Slide 8 and cover our Q2 financial results in more detail. As Phillippe noted, the 23% year-over-year home closing revenue growth in the second quarter was the result of the 18% increase in home closings and 4% increase in closing ASP despite being comprised of a greater mix of entry-level home. The 590 bps improvement in second quarter 2021 home closing gross margin to 27.3% from 21.4% a year ago reflects higher ASPs and leveraging of our fixed costs and greater home closing volume. The ASPs more than offset higher lumber prices and increases in other commodity costs. Lumber futures peaked in May and have begun a notable decline in June and July. The anticipated positive margin impact, we'll start to work its way through our financials in the coming quarters that may be partially offset by other comp that continue to rise. As we scale up community counts towards 300, our gross margin will eventually benefit from even greater leveraging for fixed overhead in the future. To all documented that many homebuilding materials both raw and finished, are constrained in today's environment due to ongoing supply disruption in 5 consecutive quarters of elevated demand. The entire industry is impacted to some degree, and while we're certainly not immune to this phenomenon, we believe our reduced plan library, limited SKU count, strong vendor partnerships and constant predictable construction cadence, a lot of some advantages to navigating these delays. While labor shortages are commonly associated with the homebuilding industry during periods of high growth, fortunately labor is still relatively stable. We believe our strategy makes us a preferred builder of choice, since our transparency and scheduling visibility are attractive to local trade. However, we have had some higher transportation costs affiliated with some of our inputs due to indirect labor challenges. We continue to monitor for indications of a tightening labor market. Our SG&A leverage benefited from both greater closing volume and higher ASPs in the quarter, bringing our SG&A down to below our 10% goal to 9.2%. One of our more permanent changes is the increased technologies in sales and marketing where possible, which is an effective, yet lower cost solution we rolled out in 2020, and we continue to employ and refine. The second quarter of 2021 effective income tax rate was 22.4% compared to 21.7% in the prior year, both years reflect reduced rates by primarily stem from eligible tax credit on qualifying energy efficient homes closed under the 2019 Taxpayer Certainty and Disaster Tax Relief Act. The price increases and higher closing volume expanded gross margin and improved overhead leverage that we achieved this quarter led to an 83% year-over-year increase in second quarter diluted EPS of $4.36. To highlight just a few items from the first half of 2021 results on a year-over-year basis, we generated an 85% increase in net earnings, orders were up 4%, closings were up 21%. We had a 530 bps increase in home closing gross margin to 26.1%. And SG&A as a percentage of home closing revenues improved 100 bps to 9.5%. Moving on to Slide 9, our balance sheet remained strong even as we invested a record amount on land acquisition and development. We achieved several objectives this quarter. On April 15, we close our offering of $450 million 3.875% senior notes due 2029 and received approximately $444 million in net proceeds. On March 31, we issued a notice of redemption for all of our $300 million 7% senior notes due 2022. This redemption that occurred in April resulted in $18.2 million over debt extinguishment charges this quarter, or approximately $0.37 impacts to our EPS. In the first half of 2021, we repurchased 300,000 shares of stock for a total of $27.5 million, of which 200,000 shares totaling $19.1 million were repurchased during the second quarter. At June 30, 2021, our cash balance was $684 million, compared to $746 million at December 31, 2020. Our net debt to capital ratio was still low at 15.4% compared to 10.5% at December 31, 2020. Our current maximum net debt the cap target remains in the high 20s, which is in line with the quick asset turns from entry-level and first move-up offering, and our solid commitment to maintaining sufficient liquidity to weather any unforeseen events. We have not wavered from our capital usage priorities. We will continue using the bulk of our cash on land spend for organic growth and to get specs in the ground. Routine share repurchases are intended to offset new grants and keep our dilution neutral. While we will opportunistically repurchase incremental shares, our main focus remains on land acquisition and development to achieve long-term growth, drive profitability and gain market share. On to Slide 10, on June 30 2021, with over 63,000 total lots under control, we had 4.9 years supply of lots based on trailing 12 months closing in line with our target of 4 to 5 year supply of lots under control, but closer to the middle of that range when we look at our expected closing volume at 300 communities. We increase our land book by 47% from approximately 43,000 lots at June 30, 2020. As we get closer to attaining our mid 2022 goals of 300 communities, we exceeded our own expectations on community comp growth this quarter. We made tremendous progress in land development, and overcame supply chain issues to aggressively grow our community count by 11% sequentially from 203 at the start of the quarter to 226 active communities at the end of the quarter. On a year-over-year basis, we were down 5% from 237 communities due to an accelerated orders pace in both 2020 and 2021. Like Steve said, we believe this quarter was the start of significant growth. We opened 45 new communities. Our strong pipeline of upcoming community openings over the next 4 quarters should position as well both to address market demand with greater volume and to drive continued profitability. As we already own or control all of the land necessary for our 300 goal, we are focused on working through development of land over the next 12 months, we remain confident that we will have 300 active communities by mid-2022. We spent $551 million on land acquisition and development this quarter, which was both 157% higher than last year's Q2 muted spend of $214 million and 49% higher sequentially from Q1 spend of $370 million. To demonstrate our commitment to sustain and replenish our 300 communities, we expect to spend about $1.75 billion to $2 billion on land acquisition and development in 2021, and maintain its annual pace of about $2 billion in the future. Despite the additional demand for land from all builders today, we are able to find enough land to meet our internal goals while remaining disciplined in our underwriting standards. In the second quarter of 2021. We secured approximately 9,000 net new lots, about 114% more volume, then about 4,200 net new lots in the same quarter of 2020. These new lots will translate to 64 new communities, of which approximately 80% are entry-level. Our comfort with acquisitions of larger lot sizes and in secondary and further out submarkets that best align with the entry-level products have limited some of the competition for the land we are interested in, and also allowed us to contract for less expensive lots. These positions allow us to leverage community-level overhead costs, reduce the per lot impact of development and infrastructure allocation, as well as mitigate community count churn. In the second quarter of 2021, the average community size we contracted for was 153 lots. To preserve liquidity, we use options for staggered purchasing terms where financially feasible. About 63% of our total lot inventory at June 30, 2021 was owned and 37% was optioned, similar to last year. Finally, I'll direct you to Slide 11. We have more than 5,500 units in backlog and another almost 2,600 specs in the ground today, which provides good visibility into our go-forward margin trends for the rest of the year. Additionally, with today's strong pricing environment, and anticipated lower lumber costs, we are lifting our guidance with allowances for other commodity costs increases and cycle time delays. For full year 2021, we are now projecting total closings to be between 12,500 and 13,000 units, home closing revenue of $5 billion to $5.25 billion, home closing gross margin of approximately 27.5%, and effective tax rate of about 22.5% to 23%, and diluted EPS in the range of $18.55 to $19.45. Given our strong pipeline of community openings, we anticipate communities at December 31, 2021 will be about 10% greater than today's level. As for Q3 2021, we are projecting total closing to be between 2,800 and 3,100 units, home closing revenue of $1.15 billion to $1.25 billion, home closing gross margin of approximately 27.5% to 28%, and diluted EPS in the range of $4.35 to $4.70. With that, I'll turn it back over to Phillippe.
Phillippe Lord: Thank you, Hilla. To summarize on Slide 12, our healthy land spend has led to our significant community count growth, demonstrating our commitment to sustain a strong land position. We are confident that we will achieve our 300 community goal by mid-2022. Our robust backlog and increased spec counts combined with the ASP on backlog exceeding $420,000, will allow us to drive greater volume and home closing revenue in the second half of 2021. In the current environment, we will continue to push pricing based on what the market will bear, while managing our orders pace to account for supply chain challenges in order to deliver great margins and profitability. We believe we can capture increased demand and greater market share over the next 3 years by continuing to execute on our entry-level and first-move strategy under elevated demand or at normalized levels. Additionally, we believe our successful spec-building strategy in the entry-level communities and our streamlined operations will continue to serve us well into the future. With that, I will now turn the call over to the operator for instructions on the Q&A. Operator?
Operator: Thank you. At this time we'll be conducting a question-and-answer session.  Our first question today is from Alan Ratner of Zelman & Associates. Please proceed with your question.
Alan Ratner: Hey, guys, good morning. Congrats on the really fantastic quarter and results. So, Phillippe, I think you opened up the call with some pretty realistic comments just about, eventually, kind of you'd expect to see some normalization on absorptions. And you actually kind of put a timeframe around that over the next couple of quarters or a few quarters. I'm guessing at this point that's being driven by you guys in terms of kind of limiting the sales, since it seems like demand is clearly outpacing supply. But I'm curious what impact, if any, you would expect over the long run that normalization to have on the very strong gross margin trends you're seeing today. Hilla, you mentioned the benefit of leveraging the fixed expenses as you ramp community count. But the flipside of that, I would imagine, as you're probably benefiting today from the very, very strong absorption pace set that you're at and kind of leveraging some fixed expenses. So can you kind of just talk through the moving pieces there on the margin side as that absorption normalization occurs?
Phillippe Lord: Yeah, thanks, Alan. Obviously, in the near-term, we kind of guided to what we think our margins are going to be in the back half of the year. And so, we feel like the margin profile in the near-term is still really strong, with lumber sort of moving down. Even if the pricing power in the market isn't as strong as it used to be, we feel like there's offsets there. And, today, we're still able to push prices in some of our communities, even though we're being more mindful of it than we were in the prior 2 quarters. As we sort of look out into the future and revert back to a more normal absorption pace, there's a couple of things that we see. First of all, all the communities we're opening to get to our 300 is land that we bought prior to the pandemic, late 2019, 2020. So we think the margin profile in that land looks really good. We do think costs will stabilize. We're seeing what's going on with lots with lumber. So we think that's going to go in the right direction. The big question is out there, it's just kind of what are incentives going to do? We're not thinking that we push prices beyond a place that are sustainable long-term without some sort of incentives to kind of still achieve the pace, sort of a normalized pace out there in the market. As of right now, we're not incentivizing anything really anywhere, to sell the houses that we're releasing today. But we fully expect over the next couple of quarters that incentives will come back into the market as supply does. To what extent that is, it's hard to say at this point. I don't know if Hilla has anything else to add to that.
Hilla Sferruzza: Yeah, I think just to answer your question, on the margin side of the discussion, I agree with Phillippe. I don't think that we're going to be able to continue to increase pricing at the current pace indefinitely. But even just for argument's sake, if we hold it steady, with lumber coming down, and just for Meritage specific, having additional volume from those communities, it's going to more than offset any normalization in the market on per store sales. So I do think our overall volume will be higher. So if we look at that, with lumber coming down and just some savings that we're going to start to harvest from our lower interest rates, we see that even if absorption cases come back to normal in the next 2, 3, 4 quarters, the margins probably have a slightly longer runway until we normalize.
Alan Ratner: Got it. Okay. That's really helpful. Second question. Phillippe, you also made a comment that you're seeing some early indicators that affordability is being stretched in some markets. I'd love any additional color you might have there that kind of supports that statement, whether it's data you're seeing from your mortgage company, or perhaps just general less enthusiasm from the consumer, given the price increases, so any commentary you can give there would be great.
Phillippe Lord: Yeah, it's more of the later. We do, obviously, look at our backlog, look at our pipeline of prospects, find out where they're at from FICO score, FICO scores, DTI ratios. All that looks pretty stable at this point, even at the current prices, given the way interest rates have trended, the payments are still very much affordable and achievable. But it's more about the consumer feedback, right? When we go out and release homes to our priority list, there's a larger percentage of that priority list that just prefer not to buy today, just because of where the pricing is and how it's stretching sort of their total sort of what they were thinking was going to be their payment for a new house. So it's much more qualitative at this point than it is quantitative. We seem to still have plenty of buyers who are willing to pay the price and are comfortable with the payment. But we definitely have seen more pushback from our priority list over the last say, 30, 45 days.
Hilla Sferruzza: Yeah, just one more data point, in addition to FICO and DTI, I think we mentioned on our call last quarter that there's a couple of additional data points that we're continuing to monitor which is broken appraisal and the ability to make up that money from the buyers' perspective, as well as a stress test on our backlog. if interest rates were to increase and whether it is interest rates or increases in prices, it's really kind of the net payment calculation that we're doing there. So even if interest rates hold steady, how comfortable is the buyer population with price increases. And so it has often de minimis effect. The appraisal is almost a nonevent if there are broken appraisals. Buyers are coming up with the extra fund and under the stress test continues to be very low percentage of our backlog that would have an issue qualifying for the exact same house that they were looking for, although they could certainly still qualify for a slightly less expensive house in the same community.
Alan Ratner: Got you. Thanks a lot, guys. Appreciate it.
Operator: The next question is from Stephen Kim of Evercore ISI. Please proceed with your question.
Stephen Kim: Yeah, thanks a lot, guys. Lots of good things to talk about. But I want to address this question of peak lumber. I think you mentioned that you thought that you'd have a positive margin impact from falling lumber in the coming quarters. Just want to get a little bit more granularity in 3Q and 4Q. Can you give us a sense of what you foresee with the shape of lumber costs running through your P&L relative to what you saw in 2Q?
Phillippe Lord: For the back half of this year, we're not going to see a significant impact from the lumber re-lock that we're about to go into, starting with all starts, August and on. So most of the homes that are going to close this year have been started already at higher lumber rates. So we don't see a very positive impact in the back half of the year. This will start to be dealt more in 2022. It takes lumber - the way builders experience lumber saving is very inefficient, as many have written about. We'll re-lock here. There's still quite a bit of supply in the lumber yards that they bought at the prior rate, And they're trying to still push those prices through to us, so to achieve all those savings will take some time. But it's dropped significantly and staying there, which is exactly what we needed for there to be some real significant savings here. So I think we'll get some meaningful re-locks here in August. But the big things will come at the next block after that and really start to impact Q1, Q2 of next year, if everything else stays equal.
Stephen Kim: I guess, just to clarify my question a little bit, I would think that actually, the shape of lumber means that 3Q might actually have higher lumber costs than 2Q, just wanted to clarify that. Obviously, on the backend of that, there would be benefit, which is what you addressed. But I was talking specifically about 3Q, maybe absorbing even higher lumber and that being incorporated in your margin guidance. And then also, with respect to the amount of the lumber hit, if you will. year-over-year, the headwind, one of your peers mentioned that they thought that it could be about 300 basis points year-over-year, in terms of the kind of hit that you absorbed in 2Q and maybe will absorb in 3Q. I want to see if you could comment on that range.
Phillippe Lord: I don't think I have that exact math. But certainly, we are not unique in what we've experienced in lumber cost versus our peers. So if they had an accurate number there, I would probably agree with that. But to your earlier question, yeah, I mean, lumber peaked it appears in Q2. All the starts that went out in Q2, which will close in Q4, is probably going to be the peak of the lumber impact to our P&L. Now, as I said and Hilla has said, the pricing power in the market more than offset that, which is why we're comfortable with our margin guidance. But, yes, you're 100% right, the biggest impact of the increase in lumber costs, when we close out, is going to be felt here in Q3 and Q4.
Stephen Kim: Yeah, that's encouraging. And then, with respect to the comment about incentives, you mentioned you're not really doing any incentives at all. I mean, obviously, incentives are a normal part of the business in most times. And so, I wanted to talk about that a little bit. First of all, what is the normal rate of incentives when you just think about what a normal market is? Is it like low-single-digits kind of a thing? And is it consist - do you typically have prices increase, even as you have incentives, normal level of incentives? So in other words, I'm asking if you have an increase in your incentives over the course of the next year, would they also be consistent that you would also be having some asking-price increases at the same time?
Hilla Sferruzza: I'll take that one. So you're right, typically, let me just clarify, incentives come in 2 forms here at Meritage. I know every seller does it a little bit differently. We have just traditional incentives. And then, we have incentives affiliated with using our mortgage company. So the mortgage company incentives are still there. Those are an incentive to use our affiliate and for us to have additional visibility into backlog. The incentives affiliate just for coming into our community and buying a home, those are the ones that are right around zero. Low single digit is the right number in a regular environment. And you're right, typically they go lockstep with ASP increases. So if you think in a normal environment, ASP increases are maybe 2%, 3%, 4% a year. That should still continue, despite the fact that you're having an incentive in future years, as we normalize, Now, again, it's difficult to predict what normal will look like or how normal will come to be. Is it going to be abrupt? Is it going to be steady and slow? It's difficult to know chicken, or the egg, which is going to come first, continuing increases in ASP or a halt in ASP, the proliferation of incentives, and then kind of a normalization. So it's hard to try to pinpoint any specific quarter what the action is going to be. But we do think that over the next 2, 3, 4 quarters, we'll see with the - every builder that's reported so far has mentioned that they're increasing starts and specs looking to get more inventory in the ground. There feels to be a little bit of the loosening of inventory, and the existing home market as well. So we think that there will be some stabilization there. And whether that manifests itself in slower increases on ASP or the return of the incentive, that's really sometimes a market-by-market decision.
Stephen Kim: Sure, makes sense. Appreciate it. One last one, if I could just sneak it in here is the loan limits. One of the things that you raised I think earlier this year was the fact that loan limits. You're bumping up against loan limits I think in some communities. And yet, we know that the loan limits formulaically will increase, perhaps as much as 20%, something a jump to a degree we've never seen before, on January 1. And given the abruptness of that, I was curious as to how you are strategizing with your sales-force in terms of how you will manage customers who come in, who may be a little challenge, because of the loan limit you in 4Q, but can look forward to the significant breathing room being provided on January 1.
Hilla Sferruzza: So loan limit, I think is a really important data point, but one data point, maybe more important is affordability, because loan limit is really just driving the availability to get an FHA loan, right? So we're looking at that in tandem with overall affordability for our buyers. We do have quite a few of our upcoming communities that are going to be opening at lower ASP. So we think that will alleviate some of the issues. But the way that we're looking at it is really the broken appraisal. So, do the customers have the ability? They're split. If the mortgage is coming in slightly above FHA, and they really want or need the FHA loan, do they have the ability to put a little bit more cash down to get the loan total below FHA, even if the house price doesn't get there. And for the most part, where our customers are looking for that, we see that as an opportunity that's still available to them with their cash that they have on hand from stimulus checks or economic success that they've had over the last 18 months. So we're certainly monitoring the FHA limit. And our company objective for our entry-level product is to be below the FHA limit. But we're in today's kind of unique environment, we're monitoring FHA limits in hand with just general affordability, since the FHA take rates is a little bit lower today than we've typically seen.
Phillippe Lord: I just want to drive that last point home. We're out there sourcing land that allows us to position our product below FHA, today's FHA, at today's lumber costs, at today's pricing. So we continue to look for land to move down, move our ASP down in our future business. And I think that's really important for folks to understand, because I know we're going to get a lot of questions about what land prices are doing, and they're certainly going up. But our focus is to buy land up position, all of our products below FHA, and again, current FHA thresholds, not what they might be in the future.
Stephen Kim: Yeah. Great. Appreciate it, guys. Thanks.
Hilla Sferruzza: Thank you.
Operator: The next question is from Michael Rehaut of JP Morgan. Please proceed with your question.
Michael Rehaut: Hi, thanks. Good morning, everyone. I'll try and limit myself to 2 questions here. First, I'd love to get your thoughts, you talked about sales pace going forward and, obviously, there's different pushes and pulls. Hilla, I think you kind of talked about at some point sales pace normalizing. At the same time, you're having more communities come online as we progress through the year, and supply - despite, supply constraints, you're still putting out starts at a decent pace relative to a quarter or 2 ago. So, just wanted to clarify, as we think about sales pace in 3Q and 4Q relative to 2Q, is 2Qs pace sustainable for the rest of the year, and how should we think about 2022 at this point even?
Phillippe Lord: Yeah, I mean, so we don't really guide to sale, so I'm going to stay true to that. The sales pace in the market today is being 100% tied to production. So we're just managing orders based on our ability to get spec started, get into the stage, that's interesting to consumers to transact, and what we can sustain and deliver a great customer experience around, making sure we can deliver the house on time and fully complete to those consumers. So, the supply chain, I don't know if I could say it's getting worse, it's not getting any better and it continues to be the biggest challenge to the market. So that 5.5 sales pace in Q2 was a strong sales pace. It's unclear, we'll maintain that through the back half of this year, it will just all be tied back to our ability to kind of get those starts in the ground get into the production cycle, and sort of manage our backlog conversion and keep our costs in line with what we're trying to achieve on our margins. I know that's not the answer you're looking for, and you're looking for something different, but really, it's just connected to that 100%. And then the last thing I'll say, we think normalized sales pace. And we underwrite new lands at 3 to 4 per month for 1MU, and 4 to 5 per month on LiVE.NOW. And our 3-year business plan that's what the absorptions are being under right now. So as the new ad opens up, if we get more than that, we get more than that. But that's the assumptions that go into how we underwrite land. And when we achieved 300 communities, we think that generates a 15,000 unit business at 4 a month. We'll be there middle of next year.
Michael Rehaut: Okay. I appreciate that, Phillippe. Maybe just to clarify then maybe you could just maybe talk to the fact just to finish off this thought here. To the extent that you're saying production isn't getting worse, would you expect your starts rate to be sustained in the back half? And then, my second question is just on owned and options kind of staying in that 60%-40% range, a little bit above 60% this quarter, you obviously have other builders that are trying to push or have pushed the option portion of their lot position higher. Is that a goal of yours over the next 1 or 2 years? And how do you see that playing out? Thanks very much.
Phillippe Lord: Yeah, we're absolutely trying to do as much as we can on an option. You have to be optimistic in the landmark today is very, very competitive. Getting paid both for deals, sometimes gives you a better deal. And, what other - it depends on what markets and what other builders are willing to do. We're so focused on our affordability metrics, and again, getting our ASP down that if we can do the bulk transaction, and successfully position our future product at a much more attractive price point, we're going to do that over the option. That being said, we continue to do well on the options will continue to push harder and try to do more. But I think the markets just really hard right now on the land side and a lot of other builders are out there willing to do both and we just have to compete with them. So, I think, we're kind of where we are and we're continuing to push. As far as the start cadence, I'd say, you should fully expect it to continue as we ramp it to the 300 communities. We're going to be getting to a pace, where we can do 50,000 units. And we've said it other clients on the calls, but start in sales are almost the same for us these days, right? We've changed the way our business model works. We're selling almost 100% specs. So as we try to ramp up to the 300 communities, we believe that we need to be at 50,000 starts for the year. And it starts now, right, as our community count growth continues. So that's the trajectory on that's why we started a bunch of homes last quarter, we're trying to replenish the spec, but we're also getting community count growth. And I fully expect our start cadence to continue to escalate as the community count growth comes behind it.
Michael Rehaut: Great. Thanks very much.
Operator: The next question is from Carl Reichardt of BTIG. Please proceed with your question.
Carl Reichardt: Thanks. Good morning, everybody. Phillippe, I wanted to ask about the cycle time extension. I think, I got it, right, that you said a 4-week extension. Can you talk a little bit about sort of where in the build process that's occurring? And is it more product or labor pool related, and then just sort of on that point. The thesis here being low end spec build in our area is great for subs and they love it. Now we've got a lot of other builders looking to jack starts. So how are you feeling about retaining that labor pool as you move forward maybe the next sort of couple of 3 quarters?
Phillippe Lord: Yeah, I'm feeling really good about it right now, considering we started 1,300 houses last quarter, it was a big focus and effort of ours. The team did a great job driving that. So I'm feeling pretty good about it. But things are shifting around all over the place. You asked us where it's happening. It's kind of happening everywhere and it's happening in different places depending on geographies, depending on trade relationships, et cetera. So I'm not sure I could tell you that it's back end trade versus front end trade, which stage of the house we're slowing down and just kind of there is - it's kind of like a death by a million cuts, they're all over the place. And that's what's generated the 4-week elongated cycle time, which will obviously impact inventories, turns and et cetera. But I'm feeling that our operating model allows us to planned stuff in a different way. We already know what we need to start in Q3. We've been planning for it for 60 days. So we told the trades, what we're doing, where we're doing it, how we're doing it, and we got them lined up. And I think that what the spec strategy gives you as far as the other builders getting into this, I think they're seeing the same thing we're seeing. And then, in turn, consumers want to move quickly today. So the ability to move them in quicker is something that's really important. So they're diving in. The key, though, is the repeatability of your business to really drive that spec cadence. If you're still building a lot of different plans out there, you have a lot of different SKUs you're managing, you're relying on your sales folks to pick out design packages and things like that, it just slows down the process. So with these other builders jumping into it, I'm confident that they're figuring that out. But we've been working 5 years on that. And that's why I feel like we can ramp up our stars to 3,100 like we did in Q2. So, yeah, I'm optimistic that based on our performance, and what I'm seeing in Q3, we're going to be able to ramp this thing up pretty fast. So that we have the specs in the 300 communities that we're getting to by next year, I'm putting ourselves in a position to deliver on our long-term goals.
Carl Reichardt: Thank you very much, Phillippe. And then, Hilla, just looking at this particular quarters gross margin guide at - 25% as a guide at the end of last quarter, and you're under 30 basis points above that this quarter. Can you walk through the 230 basis points differential from the guidance? And specifically sort of like basis point what drove that change?
Hilla Sferruzza: Yeah, it's kind of - it's in every category, honestly. So because our backlog conversion was a little bit off from what we expected, we had a higher volume of spec sell in the period than what we entered into and those were at higher ASP, so that obviously helps every category. Depending on the timing of the specs, there were some savings on the expected lumber impact. So there were some savings on the cost side, and then, again the volumes of closings as well as the ASP increased help us leverage the fixed component that's a fairly material component for us that leverages up pretty well with when the volume increases. So it was kind of across the board, obviously, the lands fairly fixed that's sometimes impacted by your mix, but for the most part, those land costs have been locked in for a very long time. So as your ASP increases, you're leveraging a piece of that land and dollars don't change, of course, but the percentage increases. So it's really all just a function of the volume, slightly lower lumber based on the timing of when the home started and the increased pricing power on the home that close kind of all led to that improvement.
Carl Reichardt: Thanks so much for that detail. I appreciate it.
Hilla Sferruzza: Thank you.
Operator: The next question is from Deepa Raghavan of Wells Fargo. Please proceed with your question.
Deepa Raghavan: Hi, good morning, everyone. Great quarter, great guide. My first question is more generic. As we reopen and resume to add some normalcy post-COVID and seasonality coming back. Are there any trends that positively surprised you or underpaid your expectations so far?
Phillippe Lord: No, because - so, we're really metering and governing sales in every community. And it's really hard for us to tell everyone exactly, if we took the governor off of every single community, what we would see in the market and did anything change from last year when we weren't governing sales. So as of right now, everything feels like we can sell what we have, and we don't have to incentivize it, and it's a still a very strong healthy demand market. People are still seeking out housing, there's a lot of supply constraints. And we really haven't seen much change in buyer behavior for the most part. But it's hard to exactly say just because of the governor's we have out there in our communities, given the production constraints that are in the market. So, no, we haven't nothing's really surprised us. We're not even sure if there was seasonality over the last 90 days, certainly people have gotten back into how you vacations and doing other things. But we're still seeing plenty of buyers come through our communities, way more than a typical summer would look like. And so it's just hard to say at this point, if anything's really changed, as it relates to seasonality.
Deepa Raghavan: All right. That's fair. You're tracking better than your expectation for this 300 community count to mid-2022? Does it mean you can achieve this target a little earlier than you'd have thought? Or are there other constraints like you're talking about supply chain, et cetera? That's still the big hurdle. And, right now, just getting the 300 by mid-2022 would be a victory by itself?
Phillippe Lord: Yeah, I mean, that we are going to grow our community count by 80 communities essentially over the next 4 quarters. That's net, right, because we close out of communities as well. So opening up 100-plus communities over the next 4 quarters, we'll take everything the organization has to execute on it. As we sit here in July, we're in great shape, but we still have a lot - we have 12 more months of work to do here and to execute on this. And so I don't think that there's going to be a meaningful pull forward of that community council.
Deepa Raghavan: All right. Great. Thanks. I'll pass it on.
Operator: The next question is from Truman Patterson of Wolfe Research. Please proceed with your question.
Truman Patterson: Hi, good morning, everyone, and thanks for taking my questions. First question is on, the discussion on kind of 2022 gross margins and outlook. If I heard you correctly, it seems like there's lower lumber flowing through that's largely going to be offsetting some of the inflationary pressures going forward at least through early 2022. It seems like you have some fairly low cost land coming online through 2022. And your commentary regarding consumers is that you might be seeing a little bit of anecdotal pushback on pricing, but when you look at their financials, it doesn't seem like affordability is that stretch? So, I guess, when I'm thinking through this really the only item or the main item of concern for you all is most likely what happens when additional capacity comes online and whether or not incentives outstrip kind of home price appreciation in 2022? Is that correct?
Hilla Sferruzza: Hi, Truman. Yeah, that's certainly one of the data points there are lower all excited as an industry to see the lumber costs come down, every other category is going up. So first of all, the impact from the lumber savings will be somewhat muted, with every other commodity increasing. So it's a little bit of a guessing game right now, what it's going to look like over the next 1, 2, 3 quarters on the rest of the commodity side. The labor is still comfortable, but unclear as this new capacity comes on at that point to start to be a trigger. And then, of course, this will be   the incentives. So there's a couple of balls in the air, that I don't think the crystal ball is clear enough, just quite yet into 2022, we absolutely agree that the expectation, unless something unusual happens with lumber again over the next couple of months. The expectation is that the industry will harvest significant savings from lumber costs, but there's certainly some concerns about items going in the other direction and whether they're going to perfectly offset or not offset or be more than the lumber savings, kind of unclear right now. So I don't think we're prepared to provide guidance into 2022. But the thesis that the lumber if it hold steady should be decreasing into 2022 is the correct one.
Phillippe Lord: Yeah, even though we're excited about the land that we're opening up here to get the 300 is all land we bought prior to pandemic. But the land is only do our income statement right now is land that we bought before that. So that lands not getting cheaper, but we're excited about the land that we have come flowing through.
Truman Patterson: Okay. Okay. Thanks for that. And then on the community count, I don't - I did not hear any guidance on 2021, nice traction sequentially. The past couple of quarters, I believe you got it to about 25% growth by the end of the year and 2021. Are you all reiterating this? And should we just see kind of a normal sequential improvement through the year?
Phillippe Lord: Yeah, we think, as we said in the opening comments, we believe will be up another 10% from here by the end of this year, approximately 10%.
Truman Patterson: Okay. Okay. Thanks for that. And one final one on SG&A, nice leverage, going forward, how should we think about the amount of new communities that you're opening, just balanced against leverage for solid growth, while at the same time we've encountered builders just kind of lowering outside third-party realtor fees pretty aggressively, as well as some ticked down internal commissions, just hoping you can help walk us through those moving parts.
Hilla Sferruzza: Yeah, there are some benefits that you'll see from commission changes. Again, those are recently implemented here, so it's going to take a couple quarters for those sales to come through. And hopefully, the offset of the timing will be as we ramp up on costs for the community count growth. So we're not providing any SG&A guidance specifically. Although we do expect to see some of those commission cost savings coming through in the next couple quarters.
Truman Patterson: Okay, thank you, and good luck in the upcoming quarter.
Phillippe Lord: So, operator, I think we'll take 2 more questions, and then, we'll close it up.
Operator: Yes, sir. We'll take the following question from Susan Maklari of Goldman Sachs. Please proceed with your question.
Jake Titleman: Hi, this is Jake Titleman on for Susan. Congrats on a great quarter. Just a question, as you expand your footprint, both geographically as well as just grow community count in your existing markets, how do you think about securing the necessary labor given the challenges there as you continue to scale the business?
Phillippe Lord: Well, I think as you scale the business, is how you secure the labor. I mean, the largest builders have access to the best labor pools in those markets. So we always talk about being a top-5 builder in each market, and that gives you access to better land, better trades, capacity, et cetera. So that's our focus, right. And as we grown to a top-5 builder in many of our markets, I think we're seeing that, which is why we feel really comfortable about our ability to grow our capacity. In our new markets that we're in like, we entered Charleston, it's going to be little more challenging. And we're on the bottom of the pecking order. We got to earn the way up. That's why we try to go as fast as we can. But it's all about market share. There's a reason the big guys got the access to the best labor pools.
Jake Titleman: That makes sense. Thanks. And just for my follow-up, I'm curious if you guys are exploring the possibility of becoming more active in the single-family rental market, as others in the industry get involved here and given your focus on the entry level, just curious to gauge your appetite.
Phillippe Lord: It's an exciting energy filled space right now. There's just so much stuff being written about it. It's highly successful. Right now, we're really focused on organic growth. We have a great growth strategy, focusing and investing in our existing markets with our existing people, with our existing products and our existing strategy. So that's the focus right now. But we're always entertaining everything that might give us some other scalable opportunity.
Jake Titleman: Thank you and good luck.
Phillippe Lord: Thank you.
Operator: The next question is from Alex Barron of Housing Research Center. Please proceed with your question.
Alex Barron: Thanks for squeezing me in. We've seen home prices go up quite a bit this year, in some places, up $80,000, $100,000. And I think you guys said you're planning on introducing new communities at lower price points. So I'm curious, what's different about these new communities, are they smaller in size? How do you prevent from some type of cannibalization?
Phillippe Lord: Yeah, so the newer community, first of all, it's just a pivot, right? We've been really focused on this for a while. So we've been buying cheaper lots in secondary tertiary markets that we feel good about in the path of growth, that allows us to position our products in the 300s versus 400s, 500s, which is where we typically play. The second thing, I think we've said this quite a bit, but we've just been very successful. Our team has been very successful sourcing larger deals. And in buying the larger deals, we're getting better basis, land residuals, and also able to spread out the horizontal costs over more land, which is helping us bring lot to the market at lower prices, which allows us to price our homes at lower prices. So a lot of that land, we started buying 2 years ago, and it's going to start flowing through. And it's really the larger deals that are allowing us to position our product in a more affordable price band.
Alex Barron: Okay, thanks. And then, my second question is, obviously, you guys shifted the business model to building mostly specs. I'm just curious if you guys have also shifted the timing of when you release that home for sale, or has it not changed meaningfully in the last 3 to 6 months?
Phillippe Lord: Well, when we release - well, it has changed because of the elevated demand and the production constraints. So in the normal market before the pandemic, we were always sort of had, a third of our specs were complete. A third of our specs were middle stage, and then our third of our specs were early stage. Now, we have less than 5% of specs that are finished, just because there is so much demand out there and we're able to sell it earlier in the release. We'd like to get back to where we were, where we have a third, a third, a third, and we have sort of something for everybody and can meet their timing of when they want to move and need to move. So things have changed. We're releasing houses earlier on and people are buying them earlier on in today's environment.
Alex Barron: Okay, thanks so much.
Phillippe Lord: Thank you. Well, thank you, operator. Thank you, everybody. I'd like to thank our entire Meritage team for their great effort and continued high-level execution. And everybody who joined the call, I thank you for your continued interest in Meritage Homes. We hope you have a great rest of your day, and again, thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.